Operator: Thank you for standing by. This is the conference operator. Welcome to the CarGurus, Inc. Third Quarter 2020 Earnings Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Scot Fredo, Senior Vice President of Financial Planning and Analysis. Please go ahead. 
Scot Fredo: Thank you, operator. Good afternoon, and welcome to CarGurus' third quarter 2020 earnings call. We'll be discussing the results announced in our press release, issued today after the market closed and posted on our Investor Relations website. With me on the call today are Langley Steinert, CarGurus' Founder and Chief Executive Officer; Jason Trevisan, Chief Financial Officer and President, International; and Sam Zales, President and Chief Operating Officer. During the call, we will make statements regarding our business that may be considered forward-looking within applicable securities laws, including statements concerning our outlook for the fourth quarter and full year 2020, management's expectations for our future financial and operational performance, our business growth and international strategies, the potential impact of the COVID pandemic on our business and financial results, and other statements regarding our plans, prospects and expectations. These statements are not promises or guarantees and are subject to risks and uncertainties, which could cause them to differ materially from actual results. Information concerning those risks is available in our earnings press release distributed after the market closed today, and in our most recent reports on Forms 10-K and 10-Quarter, which along with other SEC filings can be found on the SEC's website and in the Investor Relations section of our website. We undertake no obligation to update forward-looking statements, except as required by law. Further during the course of today's call, we will refer to certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our press release issued today. Our updated investor presentation can also be found on the Investor Relations section of our website. With that, I'll turn it over to Langley. 
Langley Steinert: Thank you very much, Scot and thank you to all for joining us today. I'm pleased to share that CarGurus generated strong results in the third quarter. Despite the ongoing uncertainty amidst the COVID pandemic, our performance demonstrates the durability of our market leadership position and the flexibility and resilience of our business model. Since March our employees have navigated work-from-home in often challenging circumstances, and I want to thank them for their tremendous effort and dedication. As a result of their hard work, CarGurus' financial performance was well above both our revenue and profit guidance for the quarter driven by improved dealer retention versus Q2, and outstanding audience acquisition efficiency. Before I discuss the business results, I also want to recognize our events marketing team for orchestrating our second annual automotive industry conference, Navigate. Needless to say, this year it was a virtual conference. We had over 2,000 registrants from across the U.S., Canada and the United Kingdom. Feedback has been extremely positive from attendees and I want to thank all the Gurus who supported this event for our dealer community. I look forward to Navigate 2021 when we can hopefully convene in person again. Now on to the business performance. Back in Q2, consumer demand in the market was volatile and uncertain. So we led the way with proactive discounts for dealers and introduced contactless services on our platform to enable consumers and dealers to connect in a safe manner. We had over 8,000 U.S. dealers offering contactless services in Q2, which grew to over 9,500 dealers in Q3 plus over 2,700 dealers in our international markets. Through innovation like this in addition to our continued audience leadership, deep talent engagement and consistently high ROI we were able to retain dealers better during Q3 than we forecasted in our guidance for the quarter. As a result, in Q3 we grew the count of our subscribing franchise and large/medium independent dealers, while declines among our smallest dealers created a slight overall decline. At the same time in Q3, there were macro factors affecting the U.S. dealer market in unique ways, and I'd like to take a moment to describe them. Early in the year when COVID lockdowns went into effect, sales for both new and used cars declined by well over 50% year-over-year. Additionally, OEM production of new vehicles stalled as factories were shut down. As the country emerged from lockdowns in Q2, several factors contributed to heightened demand for cars, including pent-up demand and aversion to public transportation, suburban migration and government stimulus checks. With new car inventory down, used car demand in the U.S. rebounded quickly and has grown stronger in Q3. That demand coupled with a lingering bottleneck in the wholesale sector has reduced for many dealers the number of cars that they typically have on their lots. This constrained supply amidst a high-demand environment has created a strong sales dynamic for dealers, leading some dealers, especially, smaller dealers with more volatile inventory levels to reduce their marketing budgets or at a minimum refrain from entering new marketing channels. We believe this is a temporary phenomenon that will abate when inventories return to more normal levels and dealers will place a higher value on the scale and ROI of our platform. Whether dealers are spending heavily or more modestly during this time, we remain confident that we offer the best combination of scale and value we're delivering ready-to-buy shoppers. Despite COVID-related market volatility, we're driving increasing value to our paying dealers with U.S. leads to paying dealers up 10% sequentially from Q2 and up 15% versus Q3 2019. Furthermore, our lead growth skewed disproportionately to our franchise and large/medium independent segments, which grew over 21% year-over-year. These are far more valuable to our dealer customers than audience alone. So we optimized our site experience and marketing efforts to acquire high-quality leads. With this focus on maximizing leads over audience, we are pleased with our lead growth, but we'll also note that on a consolidated basis we grew monthly unique to 11% and monthly sessions 9% sequentially from Q2, while monthly uniques were down 4% and sessions were down 13% year-over-year. Perhaps the most favorable development in Q3 has been our ability to drive this strong lead growth to our dealers, while spending considerably less than forecasted on consumer marketing. We aim to strike an appropriate balance between lead generation efficiency with quality lead growth to our paying dealers delivering low funnel high-intent leads that drive high ROI for dealers. The efficiency of our consumer marketing spend in both Q2 and Q3 has been outstanding and is the primary driver in yielding profits that have significantly exceeded our guidance. Certainly COVID has heightened consumer use of online sources and reinforce the value that a market-leading automotive shopping marketplace like ours offers consumers who may be reluctant to visit stores. At the same time, this positive trend is the manifestation of years of ongoing investment to optimize our data-driven consumer acquisition program brand investment and user experience. We believe that while COVID has accelerated some yield improvements many of these factors will continue and contribute to a sustainable improvement in our business model efficiency. While our fourth quarter guidance indicates lower profitability in the third quarter as we expect some of the COVID-related expense reductions to abate, we're optimistic about continued consumer marketing efficiency moving forward. We believe the continued improvement in user acquisition efficiency will allow us to accelerate our investment in our platform and enable more elements of the complicated car buying process to occur on our site. In the current environment, these digital retail-oriented features are particularly valuable because they help consumers and dealers transact in safe and socially distant ways. Our Area Boost product, formerly called Delivery, continues to gain traction evidenced by higher attach rates in Q3 than last quarter. Additionally, consumer financing allows consumers to connect with a dealer as an already prequalified car buyer. This is a win-win as these consumers convert at higher rates for dealers and the shopper saves time in the dealership. More than 85% of our U.S. paying dealer inventory is covered with at least one of our lending partners and more than 9% of our e-mail leads are now prequalified. The growing consumer adoption of online financing and total loan funding is evidence that both consumers and dealers value this capability. So, in Q3, we made the process even more seamless by populating existing dealer systems with the consumer's information before they enter the dealership. We're delivering this through an integration with RouteOne, a leading F&I technology provider which simplifies the dealer's ability to access prequalified applications submitted on CarGurus and eliminates a consumer's need to fill out a credit application in the dealership. These are unprecedented times for the automotive industry and the world at large. Amidst this market volatility and uncertainty, I'm so proud at how well our business is executing. It's a testament to our people, our passion, our products, the flexibility of our business model, and the commitment we make to dealers and consumers alike to offer the most transparent auto marketplace in the world. Through these uncertain times, we continue producing strong financial results on both the top and bottom lines. Many efficiencies in our audience acquisition and user engagement are materializing. We're making strategic investments in digital retail and other product adjacencies and we're continuing to prove our value to our paying dealers with innovation scale and superior return on investment. With that, I'll turn the call over to Jason to discuss our financial results.
Jason Trevisan: Thank you, Langley. I will provide a detailed overview of our third quarter performance followed by our guidance for the fourth quarter and updated outlook for the full year 2020. Total third quarter revenue was $147.5 million down, 2% year-over-year though nearly $13 million ahead of the high end of our guidance range. Our marketplace subscription revenue fell 4% versus the year ago period to $130 million reflecting the impact of COVID on our business and our dealers. Advertising and other revenue grew 17% year-over-year to $17.5 million as OEM advertising rebounded after the second quarter which reflected COVID-induced cancellations. The U.S. accounted for 94% of total revenue in the third quarter. U.S. revenue declined 2% versus the year ago period to $138.4 million, while international revenue grew 3% year-over-year to $9.1 million. The growth of our international revenue reflects the earlier stage of this segment enabling faster backfill of lost revenue due to COVID, supported by strong execution from our increased focus in Canada and the U.K. Our U.S. business generated $121.8 million in marketplace subscription revenue in the third quarter. Our international business generated $8.1 million in marketplace subscription revenue. Turning to paying dealer count, we ended Q3 with 30,162 total paying dealers, representing a decrease of 96 dealers from Q2 and a decrease of 2924 versus the year ago period. In the U.S., we finished the quarter with 23,659 paying dealers, which is a decrease of 147 from the end of the second quarter. In our international business, we finished the third quarter with 6,503 international paying dealers up 51 from the end of the second quarter. Our U.S. paying dealer count decline of 147 dealers from the prior quarter is primarily driven by cancellations within our smallest dealer segment, which we call emerging independent dealers, defined as dealers with fewer than 35 units of inventory. Even in normal economic times that segment exhibits higher churn than our franchise and large/medium independent dealers and we believe the emerging independent segment has struggled disproportionately during COVID for three primary reasons. One as a small dealer they were less able to quickly adapt to remote selling. Two, smaller dealers were more dramatically affected by supply constraints Langley described earlier. And three, emerging independent dealers typically carry lower-priced inventory. And as less affluent consumers have been hardest hit by the pandemic we've seen demand for those cars rebound more slowly than other segments. On an encouraging note, both our franchise and large/medium independent dealer segments saw positive net dealer growth for the quarter and show continued positive net momentum fueled by strong retention of existing dealers, reacquisition of dealers who churned during peak COVID months, and acquisition of new dealers. In the third quarter, U.S. quarterly average revenue per subscribing dealer was $5,133 representing a 68% increase compared to the prior quarter and a 6% increase compared to the prior quarter on a non-GAAP pro forma basis net of COVID-related discounts we offer to all dealers. International quarterly average revenue per subscribing dealer was $1,256, representing a 95% increase compared to the prior quarter and a 22% increase compared to the prior quarter on a non-GAAP pro forma basis. Our strong car sales results in particular compared to our Q2 non-GAAP pro forma reflect that since emerging from our discounting in Q2 we have maintained integrity on our packaging and unit pricing which are underpinned by our strong ROI. I will discuss our expenses and profitability on a non-GAAP basis which backs out our stock-based compensation expense, amortization of acquired intangible assets, acquisition-related expenses, and restructuring charges. Third quarter non-GAAP gross margin was 93.4%, down roughly 40 basis points versus the year ago quarter. The contraction in gross margin percentage is primarily attributed to the increase in the costs associated with our off-site display products, including our social product RPM, which had a strong performance in the quarter. Since these products have a lower gross margin as they scale they will create a modest headwind to our overall gross margins. Second, technology investments in our data center and cloud hosting expenses also contributed to the year-over-year gross margin contraction as those costs grew versus Q3 2019, but our revenue was lower than last year as noted. Total third quarter non-GAAP operating expenses were $82.7 million, down 33% year-over-year. Non-GAAP sales and marketing expense fell 43% year-over-year to $55.2 million and represented 37% of revenue down from 65% of revenue in the year ago period. The increased operating leverage from sales and marketing is the result of ongoing buoyancy of consumer Internet usage coupled with efficiency gains in our consumer acquisition. Our third quarter non-GAAP product technology and development expenses grew 13% versus the year ago period to $15.6 million.  As we've noted previously, our product and engineering organization supports both our core business and emerging products such as consumer financing, trade-in and other digital retail initiatives, which are generating de minimis revenue today. However, we believe these initiatives will unlock new revenue streams in large total addressable markets and represent future growth levers to our business and we will invest prudently yet aggressively in pursuit of these growth opportunities.  We generated non-GAAP operating income of $55.1 million representing a margin of 37% and roughly $24 million ahead of the high end of our guidance range. Our strong operating income performance was driven by efficiency gains in traffic acquisition. Non-GAAP diluted earnings per share were $0.37 for the third quarter $0.14 above the high end of our guidance range.  On a GAAP basis, we generated third quarter gross margin of 93% and incurred total operating expenses of $94.1 million down roughly 28% year-over-year. The decline in operating expenses was primarily driven by a decrease in our variable consumer marketing expenses.  Third quarter GAAP operating income increased 349% year-over-year to $43.6 million. Third quarter GAAP net income attributable to common shareholders totaled $32.6 million. Geographically, third quarter U.S. GAAP operating income was $46.5 million up 133% year-over-year. We had a GAAP operating loss of $2.9 million in our international business compared to a $10.3 million loss in the year ago quarter.  We ended the third quarter with $245.9 million in cash and investments an increase of $69.7 million from the end of the second quarter. The increase in our cash balance was driven primarily by our continued reduction in our expenses during the quarter, which yielded positive cash generation. We generated $73.9 million in cash from operations in the third quarter and $72.4 million of non-GAAP free cash flow, which includes capital expenditures and capitalized website development costs of $1.5 million.  I'll close my prepared remarks with our outlook for the fourth quarter and full year 2020. As good as we feel about our third quarter results, it's hard to deny the uncertainty looming with COVID resurgence. Some European countries are initiating lockdowns. And in Massachusetts where the majority of our employees live, the governor just issued new COVID restrictions. It continues to be difficult to look ahead with confidence while considering the potential impact of a COVID resurgence to consumers, our dealer customers and our employees.  With these factors in mind, as we look at the fourth quarter, we expect total revenue to be in the range of $146.1 million to $149.1 million, non-GAAP operating income in the range of $38.7 million to $40.7 million and non-GAAP earnings per share in the range of $0.26 to $0.28. Please note that our guidance does not include the potential impact of widespread COVID-induced lockdowns and the potential impact on our dealers and consumers.  Incorporating, our third quarter results and our fourth quarter guidance into our full year projection, we are raising our full year revenue outlook to a range of $546 million to $549 million implying a roughly 7% year-over-year decline at the midpoint. This compares to our prior guidance of $518 million to $524 million.  We are raising our non-GAAP operating income to a range of $143.5 million to $145.5 million, up from $89 million to $93 million implying a 26% operating margin at the midpoint of our operating income and revenue guidance ranges. We are raising our full year non-GAAP earnings per share guidance to a range of $1.01 to $1.03 per share, up from $0.66 to $0.69 previously.  Once again on behalf of Langley, Sam and our executive team, I'd like to thank all of our employees for their exceptional dedication and hard work through these unusual and unprecedented circumstances. We believe our business will emerge from this crisis stronger than ever as a result.  With that we'll open up the call for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Dan Kurnos with The Benchmark Company. Please proceed. Your line is open.
Dan Kurnos: Great. Thanks. Good evening and thanks for mixing it up with the one for make it different than normal. Just a quick question maybe for -- I don't know whoever wants to take this just on renewals. Obviously, kind of a big focal point right now given the tight inventory. You touched on it a little bit. Nice kind of growth in traffic even without the incremental spend. And the lead commentary color you gave Langley was appreciated.  I'm just curious as you go back to dealers demands for leads at this point how you're kind of viewing that evolve over the coming quarters and sort of the receptivity that you're getting understanding that you've been able to do some pretty good optimization work here. Any thoughts there would be helpful. Thanks.
Sam Zales: Hi, Dan. It's Sam Zales. Thanks for the question. It's thoughtful. I think Langley really outlined the combination of macro factors in the industry that are affecting dealers. And I think we always have to look at these renewals and anything customer acquisition and pricing on a basis of customer segment. We clearly outlined the -- what we call our emerging independent segment, which is the smallest independent dealers facing the biggest challenges. They can't acquire inventory as effectively as the franchise and what we call our medium and large independent dealers. The demand for products on the vehicle side on the consumer end is really a higher-end product than the lower end, which reflects a lot of what's going on in the economy.  We said that we were going back to full pricing in third quarter in July. As you know, we were very thoughtful about listening to the market through the toughest months of the second quarter. We went back to full pricing and we're being very thoughtful. We'll always be deliberate looking at the markets that have the best elasticity and the best current market conditions right now, which is the franchise and independent medium and large accounts versus the small independents. So we're going to be thoughtful about that. Yes, renewals will continue on as we go forward. But we're going to be measured and thoughtful about that effort based on those macro factors, based on what's going on with our lead volume. It's certainly been a significant volume of leads that we've driven into that medium, large independent and large franchise accounts. So we're going to be thoughtful there. We'll be smart about it and it will tell us on a segment-by-segment basis. Yes, we can start up renewals, but we'll do it in a thoughtful way as we go forward. And we think those results are coming in exactly where we had expected. We're going to be thoughtful and not push it in the tougher hit segments of our marketplace.
Dan Kurnos : Got it. That's really helpful. And then maybe just one on marketing. You've already called out, obviously, a little bit less profitability in Q4 and we kind of heard that marketing starts to come back some incremental investment. I'm sure you guys are keeping the -- situation is relatively fluid at this point, right? So obviously, there's a lot of variability in that number, but maybe you could just talk about where you think you have the opportunity to start pulling some levers here with an eye on increasing sort of traffic and lead volume growth heading into 2021 barring some kind of major COVID return.
Langley Steinert: Hey, Dan, it's Langley. So I think we referenced it in the earnings transcript that a couple of things we feel good about going forward in addition to the quarter that we just had number one just the general efficiency of our marketing work. And I think we highlighted in the earnings transcript that our focus really is not on unique visitors, it's more on driving traffic that generates leads, and then turn leads to paying dealers and even within that segment of paying dealers trying where we can to drive leads to franchise dealers, because they generally have a bigger marketing budget than independents. So there's a lot of work our team has done to make our marketing spend as efficient as possible. And I think you've seen some of the wins if you will from that work in this last quarter. And I think there are also just some tailwinds that we benefited from -- organic traffic has been strong. Our brand traffic has been strong. So I think Jason alluded to the fact that we're not sure that all these macro factors will continue to hold so well in our favor going forward, but I do think that a significant portion of them will. And so we do think that our earnings will probably continue to be pretty strong going forward.
Dan Kurnos: Can I just press you a little bit on that Langley just in terms of your thoughts around where you're at from a funnel optimization perspective? I'm just – obviously, it's a different environment and who knows how long the organic traffic tailwinds stick around, but I mean you guys have clearly taken a pretty -- aggress is probably the wrong word, but a pretty effective and strong approach to focus on putting leads in the right place and focusing on kind of higher LTV customer acquisitions. So I'm just curious where you think you are in kind of that stage and when that starts -- that process starts to level out.
Langley Steinert: So in my prior life at TripAdvisor with Steve Kaufer, we were always surprised that we were always able to find continued efficiencies. It's -- some of these efficiencies can be small numbers, but -- small ratios on big numbers can generate large earnings. So I would say that we think we will continue to find continued wins in conversion optimization merchandising on the site to try to drive as I said not necessarily unique visitors, but visitors that are going to generate leads and in fact leads to paying dealers and within that context leads to franchise dealers, because we think that generates the best economics for our business.
Operator: Thank you for your questions. [Operator Instructions] And our next question comes from the line of Naved Khan with Truist. Please proceed. Your line is open.
Naved Khan: Yeah. Hi. Thanks a lot. I don't know if I missed it, but did you guys break out the growth in traffic from organic sources and then the growth in lead from organic sources? And then I have a follow-up. A - Jason Trevisan Hey, Naved. It's Jason. Thanks for the question. No, we did not break out traffic growth by channel. We did say that organic and direct was much stronger sort of, I guess, obviously, because we spent less and still generated really nice traffic trends, so it would have to have come from those two. But no we didn't get specific on numbers.
Naved Khan: Okay. And then maybe a question on the other line OEM as well as financing. How much of the strength is from OEM? And then financing, how meaningful has it become in terms of the driver of growth if you can give us some sense of that?
Sam Zales: Naved, it's Sam Zales. I'll jump in first on OEM, and I think Jason may take consumer financing. That line is strong for us. I think on the OEM front, we saw very strong results in our advertising business. I think that comes because we're the largest endemic advertiser with down-funnel shoppers, who take action. And I think our OEMs at a time that they're now spending again are excited about working, with our business and doing more with us at a time we were curious as to what the COVID environment would mean to them. So solid results and we're proud of what we're doing with the OEMs, and hope that continues. Jason, did you want to jump in on consumer finance?
Jason Trevisan: Sure. So on consumer finance, it was not a big lever in growth from Q3 to Q2. We continue to do quite a bit of work on it. And you heard about some of the developments that Langley mentioned in terms of making it even more seamless for the consumer, when they walk into the dealer, making it even more seamless for the dealers they have the information ahead of time. But the consumer financing, the auto financing industry started to face some macro kind of market-level issues, I guess, around consumer credit. And so the market, itself was quite a bit softer in Q3 than it was in Q2. We are a tiny, tiny fraction of the total market. So we're – it's not like a direct correlation, because we're – we believe optimizing and growing through a lot of that. But nevertheless, in a softer market, it didn't contribute to a lot of growth.
Operator: Thank you for your questions. Our next question comes from the line of Nick Jones with Citigroup. Please proceed, your line is open.
Nick Jones: Great. Thanks for taking the questions. I guess, first with your focus on leads, can you touch on, how you're generating – I guess, the leads you're generating versus which leads are actually converting to actual car purchases, and I guess that leads to dealers paying. Are the – is the conversion of the lead to an actual purchase kind of stable, or is the supply constraints kind of showing up where you're delivering leads, but the dealers can't really sell a car? And then I have a quick follow-up.
Langley Steinert: Yeah, Nick, it's Langley. I mean I think there are a confluence of issues going on, and we tried to allude to that in the earnings transcript. I think one macro factor is in fact, the supply issue. But we think that abating quite a – well, it's abating. OEMs are ramping up production again. Some of the wholesale auctions – a lot of wholesale auctions are coming back online. So we believe the supply factor will kind of play itself out, that kind of being a temporary issue. I do think our benefit – I don't want to make light of COVID because COVID's certainly been a horrible, horrible event for our entire country, if not the whole world. But dealers, I do think I've seen – or put a premium on online leads from partners like ourselves, because of the fact that just the general walk-in traffic has substantially dropped. So I think that is a huge plus for us. As for the percentage of cars that are converting, I think, it's been pretty well documented in the press that dealers are doing quite well, especially in the used car space, because of a whole bunch of factors. And, again, we alluded to some of these in the earnings announcement around the flight to suburbs, people buying cars that previously didn't own a car, because they may have been living in the city, people's aversion to for the foreseeable future taking public transportation. So dealers are doing well. And I think their close rates on the leads, we send them, I think continue to hold up quite well. So overall, we – as we've alluded to earlier, we're quite pleased with where the business is tracking.
Nick Jones: Great. Thank you. And then just one follow-up with kind of maybe an increased focus on franchise dealers, I think historically CarGurus has had more used car inventory on the site. I mean, should we expect that to shift as kind of these smaller dealers were more constrained and are struggling to adapt and there's an increased focus on a franchise there's kind of the unit mix change on the site? Thank you.
Langley Steinert: Yes. It's – listen, we want to have all dealers on our site, because all dealers means more inventory. More inventory means more choice for the consumer, at all price points. And independent dealers have clearly lower price point cars than a franchise dealer will – for the most part will. Having said that, as a business, we are skewing a lot of our efforts towards franchise dealers, probably disproportionately more towards the franchise dealers because they have larger budgets, they tend to acquire more additional add-on products like our RPM product. I mean, some indies do but a lot of independents don't have – they just don't have the marketing budgets that a franchise dealer has. So it's a balancing act, and we need to make sure that we don't exclude indie dealers at the detriment of our consumers, the people that are using our site. But where appropriate if we can merchandise a car from a franchise dealer to a consumer, we will probably do that, because it generates a higher – generally, it generates a higher-paying customer for us. 
Nick Jones: Great. Thanks for taking the questions.
Operator: Thank you for your question. Our next question comes from the line of Marvin Fong with BTIG. Please proceed your line is open.
Marvin Fong: Great. Thanks for taking my questions. Just two for me. Just curious, I noticed again I think for the second quarter in a row that those sessions is diverging more than the user growth so that the sessions per user is trending down. Just curious, if you can attribute that to anything in particular with the website or just user behavior what might be causing that. And then second question just on the larger dealers that did churn out in the past couple of quarters, what's your view on what might be holding them back from returning to the platform? That would be great. Thanks.
Sam Zales: Marvin, hi, it's Sam Zales. The first part of your question on sessions per user, I think our focus continues to be on driving leads. I think Langley and Jason's comments at the beginning of the commentary really set up how our business is focused. We're looking to drive consumers in a down-funnel way into a lead generation effort for our dealers. So our effort continues to be a focus there. I probably won't comment specifically on session per user. I think our effort is find the down-funnel shoppers, the focus on leads that we can drive to our dealers and that being the effort that we're focusing most on. And so I hope that's answering the question for you. Specifically on sessions per user, I'll probably take a look at that afterwards and see if there's any details on that. We still hold a phenomenal lead in the marketplace in terms of consumers', repeat usage their time on site, the down-funnel experience. And I think that's what's driving our lead growth and so our effort will always be look at the results on a lead basis as opposed to specific visitor statistics. And I think that's driven what we think is the big success for our dealers.
Marvin Fong: Great.
Sam Zales: Did I miss the second half of the question? Was there another?
Marvin Fong: Yes. I had a question just on -- like I appreciate the comments you had about the emerging dealers having trouble. Just curious on if there were larger dealers that had churned out in the last quarter or two that still hasn't returned to the platform, what's your view on what their main concerns are for not returning to the platform yet? Thanks.
Sam Zales: Yes. Thanks, Marvin. The results for the franchise what we call our independent medium and large segments are moving in all the directions we want them to, partly driven by that consumer demand for higher-end vehicles and their ability to acquire inventory in this very difficult market. So both the acquisition and retention of those two segments has been terrific for us and we'll continue to focus there. The independent -- small independent dealer segment is one that naturally churns, more than those other two segments. I think in COVID times that's been hit worse. And we're making a deliberate effort to sort of be careful about that what we call the one to 35 vehicle segment and saying "Let's be thoughtful about taking risks to acquire some of those customers. Let's be smart about the new customers we bring on." So both the new business and the retention of the franchise and independent medium large segment has been solid for us both because of the boost and the tailwinds of the market and macro factors and because we drive a great ROI to those dealers. The small independent is the one that we're being thoughtful about acquiring because of the risk factor and their difficult standing in today's market.
Operator: Thank you for your questions. That does conclude the question-and-answer session. I'll turn it back to Mr. Steinert for any closing remarks. Mr. Steinert?
Jason Trevisan: Langley, are you there?
Langley Steinert: Yes, I just want to thank everyone for dialing in tonight. I also wanted to put in a special thanks to CarGurus employees for all their hard work during these challenging times. So with that I'll say good night. Thanks.
Operator: That does conclude today's conference call. We thank you for your participation and ask that you please disconnect your lines.